Operator: Good day, and welcome to the Glatfelter's Q1 2024 Earnings Release Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Ramesh Shettigar. Please go ahead. 
Ramesh Shettigar: Thank you, Ruth. Good morning, and welcome to Glatfelter's 2024 First Quarter Earnings Conference Call. This is Ramesh Shettigar, Senior Vice President, Chief Financial Officer and Treasurer. On the call to present our first quarter results is Thomas Fahnemann, President and Chief Executive Officer of Glatfelter and myself.  
 Before we begin our presentation, I have a few standard reminders. During our call this morning, we will use the term adjusted earnings as well as other non-GAAP financial measures. A reconciliation of these financial measures to our GAAP-based results is included in today's earnings release and in the investor slides. We will also make forward-looking statements today that are subject to risks and uncertainties. Our 2023 Form 10-K, which has been filed with the SEC and today's earnings release, disclose factors that could cause our actual results to differ materially from these forward-looking statements. These statements speak only as of today, and we undertake no obligation to update them.
 I will now turn the call over to Thomas. 
Michael Fahnemann: Thank you, Ramesh. Hello, everyone, and welcome to Glatfelter's First Quarter 2024 Investor Call. I'm pleased to report that the business produced solid but mixed results at the segment level as we continue to face industry-wide market headwinds and challenges from the volatile global economic environment with Europe representing our most difficult market currently.
 We achieved adjusted EBITDA of $23.8 million for the quarter or approximately $1 million lower than the same quarter last year. Also, in relation to the proposed merger of Glatfelter with Berry Global's HHNF business, we reached a significant regulatory milestone with the expiration of the HSR waiting period. I will speak more to the work that is underway related to the proposed merger towards the end of today's call.
 Turning now to the highlights of Glatfelter's first quarter performance, the Spunlace segment continues to gain momentum, having generated $5 million higher EBITDA versus the first quarter of 2023. This performance was driven primarily by ongoing price-cost gap improvements combined with approximately $2.4 million of operational efficiencies throughout our Spunlace sites.
 In addition, we continue to hold pricing benefits for our branded Sontara products and realized further gains in our Soultz, France facility following the site's 2023 restructuring. Also in Spunlace, I'm pleased to report that our Tennessee facility is fully operational following the tornado that swept through the community in December. I commend the team for their hard work and dedication to restoring operations while ensuring customer commitments were met during the recovery efforts.
 Transitioning to our Composite Fibers business,  this segment continues to demonstrate a positive trajectory based on steps we have taken to maintain solid performance against the backdrop of a difficult European market. The Composite Fibers team delivered approximately $2 million higher EBITDA compared to the first quarter 2023. This performance was achieved primarily through price-cost gap improvements despite a nominal volume increase. Overall, Composite Fibers continues to be managed using a combination of carefully targeted pricing actions to effectively balance volumes, inventories and operational uptime while mitigating volatile raw material and energy costs. 
 Our most challenging segment in the first quarter was Airlaid, as its European markets remain quite tenuous. The segment generated $9 million lower EBITDA with approximately $8 million of the decline attributed to the prolonged European market weakness, which resulted in lower shipments and production along with adverse pricing dynamics.
 In addition, Airlaid continues to experience growing competition from producers of related substrates. Despite the segment's dynamics, we are accelerating our efforts with new innovative products that have the potential to address customers' ongoing demand for sustainable plastic-free alternatives and new creative applications using Glatfelter's Airlaid materials. And I'm excited to share that we recently qualified a key customer for a brand-new Airlaid solution with production targeted for Europe.
 Shipping volume for this application when fully ramped up, has the potential to generate meaningful volume annually. Also, we recently shipped our first commercial plant-based caps to blue ocean closures for use by a Swedish manufacturer of nutritional supplements. These innovation initiatives are part of our overall Airlaid business strategy to reduce customer concentration in the segment.
 I will now turn the call over to Ramesh. 
Ramesh Shettigar: Thank you, Thomas. Slide 3 of the investor presentation provides a summary of our first quarter results. Adjusted EBITDA was $23.8 million, approximately $1 million lower compared to the same period last year, while EBITDA margins improved by 70 basis points. Airlaid Materials EBITDA was lower by $9 million versus a very strong quarter last year. The drop in earnings was mainly driven by weaker European demand leading to lower shipments and consequently lower production to manage inventory levels.
 Composite Fibers EBITDA improved by $2 million, mainly from favorable price-cost gap. Spunlace EBITDA was higher by $5 million compared to the same quarter last year, driven by favorable price-cost gap, headcount reduction and operational improvements.
 Slide 5 shows a summary of first quarter results for the Airlaid Materials segment. Revenues were down 18% on a constant currency basis versus the same period last year driven primarily by lower selling prices of approximately $20 million and 4% lower shipments. Selling prices were lower mainly due to cost pass-throughs, reflecting declines in raw material and energy costs in Europe and selective price concessions to nonfloating customers to regain volume. 
 On a net basis, the price-cost gap was unfavorable to earnings by $2.4 million. Volume was lower year-over-year, primarily due to weaker shipments in categories like Hygiene, Home Care and Tabletop in Europe. The decline was largely driven by pricing actions taken in 2023 to protect margins and improve our price cost dynamic. However, ongoing market softness in Europe continue to put downward pressure further impacting volume.
 In addition, mix was unfavorable compared to last year when we had much stronger color tabletop shipments. These 2 factors combined unfavorably impacted results by approximately $1.8 million. Operations were unfavorable by $3.8 million versus the prior year, primarily due to lower production of approximately 2,800 tonnes to manage inventory levels. Also, wage and other general inflation were higher compared to the same period last year.
 Foreign exchange and related currency hedging negatively impacted earnings by $1 million, primarily due to hedging gains from the prior year.
 Slide 6 shows a summary of first quarter results for the Composite Fibers segment. Total revenues were down 13% on a constant currency basis, mainly due to lower selling prices of $11 million from floating contracts implemented with larger food and beverage customers and targeted pricing actions to preserve volume. And although shipments overall were nominally higher by 1% mainly from the composite laminates and metallized categories, mix also contributed to lower revenue for the quarter compared to the same period last year.
 Overall, the price-cost gap for Composite Fibers remains favorable with prices declining by $11.1 million versus lower prices for key raw materials, energy and freight, which improved earnings by $13.6 million versus the same quarter last year. Operations and other was unfavorable by $800,000, mainly due to lower production. And foreign exchange was unfavorable by $200,000. 
 Slide 7 shows a summary of first quarter results for the Spunlace segment. Revenues were down 8% on a constant currency basis, driven by lower selling prices of approximately $4 million coming from raw material cost pass-throughs primarily in the Hygiene and Wipes categories. Volume was lower by 2%, driven by softer shipments in the Wipes, Healthcare and Hygiene categories, but partially offset by stronger shipments in Critical Cleaning.
 Raw material, energy and other inflation were favorable by $7.4 million, resulting in positive price-cost gap. Operations and other items were $2.4 million favorable through intense focus on manufacturing efficiencies, headcount reductions and lower operational spending.
 Slide 8 shows corporate costs and other financial items. Corporate costs were $700,000 lower versus the first quarter of last year, largely driven by lower professional services spending this year. However, strategic initiatives costs were higher this quarter, driven by our proposed transaction with Berry's HHNF business. 
 Slide 9 shows our cash flow summary. For the first quarter of 2024, our adjusted free cash flow was $9 million lower versus the same period in 2023. Cash interest was elevated by approximately $5 million related to our refinancing in Q1 2023 and the higher interest rate environment. Working capital cash usage was higher by $2 million and cash taxes paid in 2024 were higher by $1 million.
 Slide 10 shows some balance sheet and liquidity metrics. Our leverage ratio, as calculated under the bank credit agreement was 3.7x as of March 31, and we had available liquidity of approximately $85 million at the end of Q1. This concludes my prepared remarks.
 I will now turn the call back to Thomas. 
Michael Fahnemann: Thank you, Ramesh. The team and I remain excited by the prospects of Glatfelter Merchant with Berry Global's HHNF business, which is anticipated to close in the second half of 2024. Extensive efforts are underway to prepare for integrating the 2 businesses into a combined organization that will create a leading publicly traded company in the specialty materials industry.
 Integration planning includes extensive work to assess the 2 organizations and ensure effective operations starting on day 1 under the direction of Curt Begle, new co-CEO. Multiple teams are focused on key areas such as organizational structure, including the formation of the Board of Directors and the leadership team while assessing talent throughout the organization.
 In addition, the work is focused on business processes and IT systems along with operational excellence that leverages the combined companies' complementary products and manufacturing technologies. The integration is being guided by a carefully planned schedule, which is well underway, and I'm pleased by the tremendous efforts of our collective teams. As we approach closing of the proposed transaction, I look forward to sharing additional details regarding the integration and the efforts to ensure a meaningful performance of Glatfelter in the coming months.
 I will now open the call for questions. Ruth? 
Operator: [Operator Instructions] We will go first to Josh Wool with Carlson Capital. 
Josh Wool: Before I get to some questions on Q1, a few questions just on the Berry deal and the process from here. I know you noted HSR approval. I also saw a press report in late April talking about the financing preparations. When do you and Berry expect to place the new financing and outside of financing? When do you expect to file a preliminary S-4 and is there a target for when you could announce a name for NewCo and some of the kind of the corporate branding? 
Michael Fahnemann: Yes. Thanks for the question, Josh. Again, we are still heavily working on all the different things we have to do and conditions we have to meet in order to close the transaction, which includes approval by Glatfelter shareholders securing several regulatory approvals outside of the U.S. So we are still very optimistic that we are closing the transaction in the second half of this year. 
 And as far as your question about financing is concerned, that's still to be determined, and it depends, first of all, we need to get all the approvals from the different authorities. 
Josh Wool: Okay. And then on Q1, normally, I ask about volumes generally and then price costs generally. But given the performance in Airlaid, I thought I would just kind of focus on that segment as a whole. I mean it seems the biggest driver of the weakness was the economic downtime. And so I guess I'm trying to understand a little bit kind of how you guys were caught so off guard. I mean, I realized shipments were down year-over-year, but they improved sequentially, and I think the year-over-year decline was a little bit less than Q4. And maybe as it relates to that question, some of the CPG data I've seen has continued to improve sequentially, including some of what I'm hearing from Europe, like the guys that make label stock, which can usually be a leading indicator. So kind of like what was the issue with either planning or forecasting that? Or why you had to take a kind of such a severe downtime to get your inventory back in line? 
Michael Fahnemann: Josh, I think let me just go through segment by segment because we have a different picture in the segment. Maybe let's start with Composite Fibers. In Composite Fibers, we saw 10% volume growth from Q4 '23 to Q1 '24. And this growth was mainly driven by Composite Laminates and Wallcover. The Food and Beverage side was slightly lower, and that was mainly driven by tea, but we're expecting that this kind of subsegment tea will pick up in Q2.
 We are still seeing -- and again, in the other areas, I think the destocking has more or less vanished. It's gone. The only segment where we're seeing it a little bit is still in the Food and Beverage area, mainly coffee, where we are still kind of -- that's still lagging the trend of all the other areas.
 And then what's really positive in the CF area, Composite Laminates, we are running right now at a rate which would -- actually, if we continue doing this would be 20% higher than in 2023. So that's kind of CF.
 On the Spunlace side, also Spunlace is actually improving. We have an overall 5% volume growth from Q4 '23 to Q1 and the growth in that area was mainly driven by Hygiene and Wipes because we have seen some large customers bought additional volume in Q1. And going into Q2 and seeing April a little bit, I mean, we also see some upside here on the volume and also on the mix side. Sontara, and you might remember when we talked about this a year ago, we said we are qualifying and all that. What we are seeing right now, Sontara shows a 10% increase, mainly in the Critical Cleaning with higher volumes from new business development, but also with existing customers. So that's kind of the Spunlace area.
 And on Airlaid, we really have to look at the different regions. If I look at Airlaid, in North America, we have an overall volume increase of 13% in Q1 versus Q4. And we are seeing this really in all different categories. It's not just one category. We see it in Hygiene and Wipes, Tabletop, Home Care. And also here, we think the destocking has been done.
 Unfortunately, Europe is a totally different story. In Europe, the markets are much more challenging and our volume dropped by 7% from Q4 to Q1, and the decline in that area in Europe was mainly driven by Hygiene with probably minus 10%, minus 11%. And here, we had to take actions to really protect our margins. And our goal, and you know that we have an overall strategy to really be less dependent on big customers and widen our product portfolio, but we have to offset this with new products. We have made some really good progress with new products and new customers. And we are kind of at the edge right now that we are kind of really making supplying customers with the first shipments and all this, and we will see actually better results than in the second half of this year, but probably in '25. But Europe is the big issue as far as Airlaid is concerned. And what we're also seeing is competition from other substrates, competition from Asia, Turkey. Europe is the issue in Airlaid. 
Ramesh Shettigar: And Josh, we did kind of flag Europe has been an issue, right? when we kind of came out of the fourth quarter. But clearly, things have gotten worse there for us from a geographic standpoint and that's why the dramatic decline in kind of year-over-year earnings. 
Josh Wool: The context is helpful, including around the other segments. But just to kind of home in a little bit more on just kind of the inventory and the downtime. How unusual, I don't have a table of your economic downtime in Airlaid, but like give us some context, how unusual is that level of downtime. I'm just trying to understand how much of that is going to be persistent? And maybe to some extent, we've been spoiled by the reliability in Airlaid for many years, but it just is surprising because it's not like you went from a strong period of demand and volume growth in Europe. So just kind of wondering what could have really happened this quarter that was so much different than your expectation or maybe this happens from time to time. 
Ramesh Shettigar: Yes. I would say clearly, as we were seeing the demand kind of softened for us in Europe, we had to dial down our production as well. So the absorption impact of that was quite meaningful. The capacity utilization where we've typically seen this being in the mid- to high-80s was kind of in the mid- to high-70s. And having a pretty capital-intensive business across all 3 segments, the absorption can play a very, very meaningful role. Also, keep in mind that we made some conscious volume decisions with certain customers in terms of going into 2024, which we had also talked about previously that if the business is not -- if the book of business is not generating enough money, then we want to be able to reallocate that capacity to the B and C customers. And that takes time, right? We want to make sure that we're broadening the customer base. We want to make sure. Yes. 
Josh Wool: Yes, maybe this is the last question then around this is just so I was saying that the last question I have around kind of the issue in Airlaid is so broadening out the customer base and finding, I guess, new customers to replace some of that. When do you think that could get the operating rate and absorption back to a more normal level? Is that like Q2? Or is it more second half? Just some context there? 
Michael Fahnemann: Okay, Josh. Now what we're seeing right now is that we are seeing first shipments in Q2, but these are -- again, we are ramping up. It's new application and all this. We see already coming some volume in the second half of this year and then the full impact you'll see in 2025 and 2026, where we can replace it. And again, as I mentioned in my remarks earlier, it's really exciting. We have a nice absolutely new applications where we can position Airlaid and also in a segment, which is also providing enough profitability. Because that's the biggest issue because we get faced with other substrates, which have a totally different price point and we cannot -- we just can't do that. 
 We don't see that in the U.S. yet, but we're seeing it in Europe, mainly coming from Turkey and Asia, and we already initiated the strategy back 15, 16 months ago and it's coming to fruition. But again, coming back to your question, you'll see something a little bit in the second half of this year and then in '25, '26. 
Josh Wool: Okay. And let's talk about the price of pulp. And here, you can speak to Airlaid as well as Composite Fibers, but just kind of looking at pulp prices in North America and Europe. They entered 2023 at a very elevated level. They dipped pretty hard through the summer. And now they've been rising again, albeit they're below the last peak. When should we see the impact of rising pulp prices in your margins? And will the experience be any different this year, positive or negative given either changes to contracts or the fact that you're not also being squeezed on energy or maybe negatively because of what you said, competition with other substrates and that competitiveness getting worse as the price of pulp goes up. 
Michael Fahnemann: Okay, Josh. I mean we are seeing the pulp price increases in Q2. So we are holding normally a 2, 2.5 months inventory. Then if I look at our floating customers, we will pass that on with, I would say, around about 3 months time lag, so we'll get it, but there's a time lag. And contracts are a little bit different, but it's on average, it's around about 3 months. 
 And also, we have, as you know, implemented some of these floating mechanisms in our Food and Beverage segment and with other customers. So that will help. There's always a time lag, but it will help, and we'll pass that on.
 If I look at the non-floating side, we already were able to increase our prices roughly by 2%, 3% in North America. And this was generally accepted. Again, here, Europe is much more challenging, with a very competitive market conditions, but we are working on that as we speak. 
Josh Wool: Okay. Helpful. Just one last question, and then I can get back in the queue, around cash flow. Just any context on the performance in Q1 versus your expectations and kind of normal seasonality? And are there any guideposts around seasonality and also the timing of some of the restructuring spend over the balance of 2024 that can kind of help us model that out. 
Ramesh Shettigar: Sure. So Josh, I would say in terms of seasonality in the cash flow, typically, the first quarter is a heavy cash outflow for us, and we've seen that over the last several years. I would say, from a working capital standpoint, if inflation stays moderated, we can continue to have at least a breakeven to slightly positive working capital profile. And that's what we've been expecting. But if inflation starts to creep up here, whether it's in input costs, whether it's in energy, that could have a similar impact like we saw last year as well, where working capital was quite strained. But our going-in expectation is having the cost pass-throughs structured appropriately, we should be able to manage the working capital situation this year as well. 
 So overall, as we think about the rest of the year, the second half of the year is typically more positive cash flow from a seasonality perspective. But some of these onetime restructuring costs, the costs that we're incurring related to the kind of premerger integration and the HHNF transaction, all of that is kind of fairly spread out throughout the year all the way until closing.
 So we're going to be continuing to manage that appropriately. But as of right now, our cash flow picture going into this year versus where we are right now is largely unchanged. 
Operator: There are no others in the queue at this time. 
Ramesh Shettigar: Then why don't we give Josh an opportunity to ask any further questions if he does have. 
Operator: [Operator Instructions] 
Josh Wool: That's it for me, guys. I appreciate it. 
Operator: There are no other questions at this time. 
Ramesh Shettigar: All right. Thank you very much, and we will speak with you again next quarter. 
Michael Fahnemann: Okay. Thank you. 
Operator: This does conclude today's conference call. Thank you for your participation. You may now disconnect.